Operator: Good day, ladies and gentlemen. Welcome to the Compañía de Minas Buenaventura Fourth Quarter and Full Year 2022 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. Please note this call is being recorded. At this time, I'd like to introduce your host for today's call, Mr. Gabriel Salas. You may begin.
Gabriel Salas: Good morning, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2022 results. Today's discussion will be led by Mr. Leandro Garcia, Chief Executive Officer. Also joining our call today and available for your questions are Mr. Daniel Dominguez, Chief Financial Officer; Mr. Juan Carlos Ortiz, Vice President of Operations; Mr. Aldo Massa, Vice President of Business Development and Commercial; Mr. Alejandro Hermoza, Vice President of Sustainability; Mr. Renzo Macher, Vice President of Projects; Mr. Juan Carlos Salazar, Geology and Explorations Manager; Mr. Roque Benavides, Chairman; and Mr. Raul Benavides, Director. Before I hand our call over, let me first touch on a few items. On Buenaventura's website you will find our press release that was posted yesterday after market close. Please note that today's remarks include forward-looking statements that are based on management's current views and assumptions. While management believes that its assumptions, expectations and projections are reasonable in the view of the currently available information, you are cautioned not to place undue reliance on these forward-looking statements. I encourage you to read the full disclosure concerning forward-looking statements within the earnings results press release issued on February 28, 2023. Let me now turn the call to Mr. Leandro Garcia. 
Leandro Garcia: Thank you, Gabriel, and good morning to all and thank you for your attending to this conference call. We are pleased to present the results for our fourth quarter and full year 2022 from Compañía de Minas Buenaventura. We have prepared a PowerPoint presentation, which is available in our web page. Before we go further, please take a moment to review the cautionary statement shown on slide number two. Moving on to slide three. The highlights were as follows: fourth quarter 2022 EBITDA from direct operations was $66.9 million compared with US$59.7 million reported in fourth quarter 2021. Full year EBITDA from direct operations reached $473.1 million, a significant increase as compared to $200.4 million for the full year 2021 and includes $300 million resulting from the sale of Buenaventura's stake in Yanacocha. Fourth quarter 2022 net income reached $68.7 million, compared to $222.3 million net loss for the same period in 2021. The fourth quarter 2021 result includes a net loss of $301 million from discontinued operations, mainly due to the reclassification of Buenaventura's interest in Yanacocha. Full year 2022 net income was US$602.9 million compared to $262.8 million net loss for the full year 2021. Fourth quarter 2022 exploration and operation units increased to $27.2 million compared to $15.5 million in fourth quarter 2021. This increase was aligned with the company's revised strategy to increase its focus on exploration in order to extend the life of mine of our old units. Full year 2022 exploration at operating units increased to $80.8 million from $56.4 million in full year 2021. Buenaventura's cash position reached $253.9 million as of December 31, 2020 [ph]. Net debt decreased to $484.6 million with an average maturity of 3.4 years. Fourth quarter 2022 capital expenditures were $58.8 million compared to the $32.1 million for the same period in 2021. Full year 2022 capital expenditures reached $152 million compared to $90.3 million in last year. Full year 2022 CapEx includes $34.7 million related to the San Gabriel project and $30.4 million related to the Yumpag project. On December 20, 2022 Cerro Verde paid a total dividend of $250 million. Buenaventura received $49.8 million relative to its stake in Cerro Verde. The total dividend received by Buenaventura in full year 2022 was $79.1 million. Mining operations at La Zanja were halted in October 2022 when Phase 4 mining was completed. However, leaching will continue to the extent that it remains profitable while Buenaventura continues exploration related to the underground copper, gold, sulfide project. Buenaventura's Board of Directors has proposed a dividend payment in the amount of US$0.073 per share/ADS, aligned with the company's commitment to shareholder value. Moving on to slide 4; social, environmental and political challenges. Today Buenaventura's on-site operations have been operating normally, while off-site logistics have encountered some delays. Despite the social issues there has been no damage to Buenaventura's property or assets and all other Buenaventura mining assets are operating under normal conditions. Moving on to slide 5 financial highlights. Total revenues during the fourth quarter were $246 million, which is 3% lower in comparison to the fourth quarter of 2021. The full year 2022, total revenues decreased to $825 million compared to $901 million during the full year 2021. As we mentioned before our EBITDA from direct operations for fourth quarter 2022 was $77 million in comparison to $60 million during the fourth quarter of 2021. EBITDA from direct operations for the full year 2022 decreased to $173 million in comparison to $204 million during the full year of 2021. These figures exclude the Yanacocha transaction effect. Also our net income for fourth quarter of 2022 was $69 million in comparison to a net loss of -- $22 million during the same period in 2021. Net income for the full year of 2022 reached $603 million compared to a $263 million net loss for the full year 2021. The CapEx increased to $59 million in the fourth quarter of 2022 compared to the $32 million in the fourth quarter of 2021. In the full year 2022, CapEx totaled $152 million, a 68 increase in comparison to the full year of 2021. Moving on to slides six and seven attributable production. The gold attributable production in the fourth quarter of 2022 was 53,000 ounces which is 10% lower than the figure reported on the same quarter in the previous year. This decrease is mainly explained by lower production at Tambomayo, in line with the planned mining sequence of low and lower grades. The full year of 2022 total gold attributable production was 206,000 ounces, 4% higher than the same period in 2021. Silver attributable production for this quarter was 1.7 million ounces, which shows a decrease of 25% compared to the figure reported in the fourth quarter of 2021. During the full year of 2022, silver attributable production was 6.8 million ounces, 43% lower than the full year of 2021. This decrease was mainly explained primarily due to the suspension of Uchucchacua's operation as was previously announced and a change of the mine plan sequence at El Brocal. In the fourth quarter of 2022, 5,000 metric tonnes of zinc were produced, a 45% decrease compared to the fourth quarter of -- in 2021. The full year 2022, zinc production reached 28,000 metric tonnes, 33% lower than the same period in 2021. In the case of lead, equity production was around 3,000 metric tonnes in the fourth quarter of 2022, which is 30% lower in comparison to the fourth quarter of 2021. The full year of 2022 lead production was approximately 15,000 metric tonnes in comparison to the 21,000 metric tonnes in 2021. Finally, our copper attributable production for the fourth quarter of the year was close to 31,000 metric tonnes. During the full year 2022, copper attributable production was 116,000 metric tonnes, a 13% increase compared to the same period of 2021. Moving on to slide eight, all-in sustaining cost and cost applicable to sales. The all-in sustaining cost from our direct operations in the full year 2022 increased by 2% to $1,564 per ounce of gold. The cost applicable to sales for the full year 2022 were as follows. For gold, $1,153 per ounce which is 4%, lower than a year ago; for silver, USD 19.60 per ounce which is 4% higher than a year ago; for lead USD 1,329 per metric tons which is 10% lower than a year ago; for copper, USD 6,613 per metric tons aligned with the full year 2021 fee. Finally in the case of zinc, the cost applied to sales was USD 2,812 per metric tons, which is 24% higher than a year ago. Moving on to slide 9, pipeline of projects update, here, we are presenting in one snapshot the current development level for each one of our projects. Moving on to slide 10 -- sorry San Gabriel. Engineering and procurement work offsite activities progress as planned by a significant 64% and 83%, respectively, relative to a total targeted for the project completion. This thereby reviews overall project uncertainty and potentially enabling the recovery of a portion of time lost related to this project relative to its targeted completion. Signed Ausenco's EPCM contract and awarded power line BOOT contract. Moving on to slide 11, Trapiche, started the second set of on-site column metallurgical testing and ROM metallurgy leaching test. Environmental Impact Assessment and social engagement field work progressing as planned. Thank you for your attention. I will hand the call back to the operator to open the line for your questions. Operator, please go ahead.
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. [Operator Instructions] And our first question today comes from Carlos De Alba from Morgan Stanley. Please go ahead with your question.
Carlos De Alba: Good morning everyone. Thank you for the presentation. My question Leandro is maybe on CapEx, right? The guidance of $350 million to $370 million came above market expectations. So, if you could allude or explain a little bit what drove this, I think it's also a little bit higher than what you had -- the company had mentioned before, it was planning on spending in 2023? So if you can provide maybe a little bit of color as to what is driving that increase or apparent increase. And also, what are the expectations in terms of bridging the gap between your fairly reduced cash flow operations at least as of late and this CapEx. I don't know if you can comment maybe Cerro Verde, dividends is what is going to bridge that gap or if you will have to issue debt or maybe are you planning on selling some assets? If you can maybe address this question on free cash flow that will be interesting to understand what the company is planning. And then we noticed, obviously, the increase in exploration spending. Can you talk about what the budget is for the two lines that flow into your income statement, the exploration in operating units and the exploration in non-operating areas for 2023? Thank you.
Leandro Garcia: Thank you Carlos. The increased CapEx for the following year mainly is explained because of the stoppage we have in San Gabriel. And we have to continue doing the work into 2023. For the difference, the cash and the CapEx we are going to need in 2023, we are -- we do have a plan. We state also the dividends of Cerro Verde. And some -- maybe some financing is needed for this year to cover the increased CapEx. Maybe Daniel and Juan Carlos can give you more color of those questions.
Daniel Dominguez: Thank you, Leandro. Thank you, Carlos for your question. As Leandro mentioned this increase in the guidance for the CapEx of 2023 is due to the carry-forward that we have from the delays at San Gabriel in 2022. The figure we expect for this year, 2023 is around $350 million to $360 million. And the breakdown of this is at San Gabriel, we will need around $190 million for developing new impact close to $50 million And at El Brocal, the tailing dam management to be able to expand the plant capacity and the capacity of the tailing dam, we will devote around $50 million there. In terms of the exploration budget for 2023, we are expecting between $80 million and $90 million. The distribution of these are close to $50 million in exploration for our operations and $30 million to $35 million to our greenfield projects. Going back to how we're going to fund this CapEx requirement for this year. We have $250 million in cash that we are going to use. We expect, as Leandro mentioned, some dividends from Cerro Verde. It could be in the order of $100 million, $120 million. And of course, when we need the cash, we could be raising something close to $50 million or $100 million. As we have already mentioned, we have between $50 million and $100 million already committed with local banks.
Carlos De Alba: Thanks for those detail. So, no -- you don't think that the company will have to meet -- will have to sell assets?
Daniel Dominguez: Not at this point in time, Carlos.
Carlos De Alba: That’s great.
Operator: [Operator Instructions] And at this time, we have a follow-up question from Carlos De Alba from Morgan Stanley. Please go ahead with your follow-up.
Carlos De Alba: Yes. Thank you, guys. Just coming back to La Zanja here, Leandro what is the level -- so you mentioned that the leasing will continue as long as it is profitable to do so. What is that level in terms of gold prices and for how long? How much more material do you think you can potentially strike there?
Leandro Garcia: Thank you, Carlos. The planned output this year is 5,000 ounces this 2023. We will continue leaching La Zanja during all the time, we are converting this unit and developing the copper gold sulfide project. Juan Carlos, I don't know if you want to comment something about La Zanja regionally?
Juan Carlos Ortiz: Yes. Sure, Leandro. Currently we have a very conservative budget of about 5,000 ounces of gold to be struck for the existing leaching pad in 2023. We expect to be above that figure, but it's a very conservative initial figure, because it's something that you're learning the process how much you can get out. In parallel, we are working on a project to do some geophysics on the pad to know what are the kind of dry areas where the solution is not running through that could be potentially wet, with additional drilling in order to, pump with low pressure the cyanide solution in order to, extract gold from the right areas that the past were not completely leached, because of the way the pad is being built. There is some local experience doing that with success. So, it's a kind of innovative process that we will build on this year, in order to extend the profitable or economic leaching of the pad for -- we don't know how much, but probably one or two more years to go.
Carlos De Alba: Thank you. And so the cost attributable to sales at La Zanja is around -- was in the fourth quarter at least 1,649, which was better than the full year of 1,820. So around those levels or is the breakeven potentially below that, would you stop leaching, or would you just carry on and extract all the material for the next one to two years that you mentioned? 
Juan Carlos Ortiz: Yes. Well, that is a good question because the cost actually record all the expenses that we make in the La Zanja unit. It includes also part of the exploration, part of the progressive closure, that we do and some other areas that we are not going to be mining in the future, some studies that we do regarding the sulfide projects. So, we have a separate kind of split cost accounting for, are related to the extraction of gold from the pad, in addition to, what we do for exploring and developing the copper gold sulfide projects that we have in the same footprint. So kind of, it mix together right now, but in our accounting we will follow what is profitable from the leaching operation itself, regardless of what additional costs we need to do to develop the copper sulfide project in La Zanja. 
Carlos De Alba: Okay. All right. Thank you.
Operator: [Operator Instructions] And ladies and gentlemen, at this time in showing no further questions this will conclude today's question-and-answer portion. I'd like to turn the floor back over to Mr. Garcia, for closing remarks. 
Leandro Garcia: Thank you. Before we finish today, I would like to thank you for your time to join us, and have a wonderful day. Thank you very much, again. 
Operator: Ladies and gentlemen, that concludes Buenaventura's Fourth Quarter and Full Year 2022 Earnings Results Conference Call. We would like to thank you again, for your participation. You may now disconnect your lines.